Operator: Good day, ladies and gentlemen. Welcome to the Compania de Minas Buenaventura First Quarter 2022 Earnings Conference Call. At this time all participants are in a listen-only mode and please note that this call is being recorded.  I'd now like to introduce your host for today's call Mr. Gabriel Salas, Investor Relations. Mr. Salas, you may begin.
Gabriel Salas : Good morning, everyone, and thank you for joining us today to discuss our first quarter 2022 results. Today’s discussion will be led by Mr. Leandro Garcia, Chief Executive Officer. Also joining our call today and available for your questions are Mr. Daniel Dominguez, Chief Financial Officer; Mr. Juan Carlos Ortiz, Vice President of Operations; Mr. Aldo Masa, Vice President of Business Development and Commercial; Mr. Alejandro Hermoza, Vice President of Sustainability; Mr. Renzo Macher,Project Manager; Mr. Juan Carlos Salazar, Geology and Explorations Manager; Mr. Roque Benavides, Chairman; and Mr. Raúl Benavides, Director.  This conference call will include forward-looking statements which are subject to various risks and uncertainties that could cause our actual results to differ materially from these statements. Any such statements should be considered in conjunction with cautionary statements within our earnings release and risk factors discussions. I encourage you to read the full disclosure concerning forward looking statements within the press release we filed on April 28, 2022.  With that, let me now turn the call over to Mr. Leandro Garcia. Chief Executive Officer. Leandro, please go ahead.
Leandro Garcia : Thank you, Gabriel. And good morning to all and thank you for attending this conference call. Before we start this presentation, we would like to wish you, your family and friends’ health and wellbeing at this difficult time.  We are pleased to present the results of first quarter 2022 for Compania de Minas Buenaventura. We have prepared a PowerPoint presentation, which is which is available in our webpage.  Before we go further, please take a moment to review a cautionary statements shown on Slide 2.  Moving on to Slide 3, highlights were as follows. First quarter ‘22 EBITDA from direct operations reached $431.9 million, compared to $39.7 million reported in first quarter ’21, reflecting $300 million resulting from the sale of Buenaventura’s stake in Yanacocha and $45 million from Newmont’s contribution to La Zanja’s future closure costs.  First quarter ‘22 EBITDA, including associated company reached $578.7 million compared to $168.8 million in first quarter 2021. First quarter ‘22 net income reached $636.2 million compared to $16.4 million for the same period in 2021.  First quarter ‘22 exploration at operating units increased to $14 million from $9.3 million in the same period last year, aligned with the company's strategy to focus primarily on exploration. First quarter capital expenditures were $19.9 million, compared to 13 in the same period for 2021. First quarter ‘22 CapEx includes $2.8 million in CapEx related to the San Gabriel Project and $4.7 million in CapEx related to the Yumpag Project. The company continuing the strategy of progressively reducing fixed costs at Uchucchacua mine to improve the cost structure efficiency when the operation restarts.  First quarter ‘22 COVID-related expenses were $5.3 million, compared to the $11.7 million reported in the first quarter ’21. 2022 COVID-related expenses, estimates are between $12 million and $14 million. Buenaventura’s cash position reached $337.4 million as of March 31, 2022. Net Debt was reduced to $771 million, achieving a 1.71 times net debt to EBITDA ratio. Aligned with Aligned with the company’s commitment to deleveraging, on March 2, Buenaventura fully paid its syndicate loan amounting to $ 275 million, and on March 18 the company cancelled also $50 million of its revolving facility.  On March 30, the San Gabriel Mine Project received the Government of Peru’s approval of all required permits, enabling the company to immediately commence mining project construction, development and exploration. 2022 production guidance will be updated in second quarter ‘22 due to a new mine plan in progress for El Brocal, resulting in an expected 1 million to 1.5 million ounce decrease in silver production for the full year 2022.  Moving on to Slide 4, ESG Corporate Strategy. As presented before, here you will find our materiality metrics. This year, we will start working on the closing of gaps and fortifying  standards in the supply chain, climate change and energy use. The results of the progress made on this first quarter is shown in the next slide. Moving on to Slide 5, here you can find some key indicators regarding our ESG Strategy. For example, on the environment pillar, Buenaventura is committed to responsible water management, achieving 99% of our circulation at our open pit operation, and 83% at our underground upgrades. Also, in the first quarter of 2022, we have used 74% of renewable energy, primarily from our hydroelectric power plant. And this year, we will focus on measuring our carbon footprint.  Regarding the social pillar, as we have always mentioned, taking care of our workers’ health is our top priority and we will continue working on this. We have achieved a 92% fulfilment of our social commitment. Also, we have made more than $120 million in local purchases.  Finally, regarding the government's pillar, we will focus on optimizing EBITDA and the construction of our e San Gabriel and Yumpag Projects, which are key value generator.  Moving on to Slide 6, financial highlights. Total revenues during the first quarter were $233 million, which is 27% higher in comparison to the first quarter of 2021. As we mentioned before, our EBITDA from direct operations for the first quarter increased to $432 million in comparison $14 million during the first quarter of last year. Also, our EBITDA including associated company for the first quarter of 2012 reached $579 million in comparison to $163 million for the same period.  The CapEx increased to $20 million in the first quarter of ‘22, compared to $13 million in the same quarter last year.  Moving on to Slide 7 and 8, attributable production. Total gold attributable production in the first quarter of 2022 was 49,000 ounces, which is 31% higher than the figure reported the same quarter of the previous year. The silver production of this quarter was 2 million ounces, which shows a decrease of 42% compared to the figure reported on the first quarter of 2021. This is a direct result of this suspension of operation at Uchucchacua. In the first quarter of 2022, 9,000 metric tonnes of zinc were produced, a slight decrease compared to the first quarter of last year. In the case of lead, equity production was 4,000 metric tonnes in the first quarter of ‘22, which is 3% lower in comparison to the first quarter of 2021. Finally, our copper attributable production for the first quarter of the year was 27,000 metric tonnes, an increase of 13% when we compare with the same period of 2021.  Moving on to Slide 9. All-in sustaining costs and posts applicable to sales cash. The all-in sustaining costs from our direct operations in this quarter decreased by 34% to $1,131 per ounce payable. The cost applicable to sales for the first quarter of 2022 were as follows: for gold, $1,126 per ounce, which is 30% lower than a year ago; for silver, $15.21 per ounce which is 22% lower than a year ago; for lead, $1,375 per metric tonne, which is 4% higher than a year ago; for copper, $6,631 per metric tonne, which is 19% higher in comparison to the year ago. Finally, in the case of zinc, the cost applicable to sales was $2,838 per metric tonne, which is 38% higher than a year ago.  Moving on to Slide 10, our pipeline of projects update. Here we are presenting -- in this slide, the current development level for each of our projects  In Slide 11, San Gabriel, we obtained the approval of all requirements. This enable us to immediately commence the construction and the early works. We are currently starting to release purchase and service order for contract for the construction.  Moving on to Slide 12, Trapiche. Onsite metallurgical column testing is on progress. We have completed one of two environmental assessment workshops in the field. And we are only missing one to be held by the second quarter of ‘22. The cooperation agreement with four out of five communities are on their final stages. We finish up date report on powerline land access favorable results.  Moving on to Slide 13, Tantahuatay’s Sulfides project. Coimolache´s board approved viability stage. • Finished 2021´s In-fill drilling program confirming high grade zone.  Thank you for your attention. And we'll hand the call back to the operator to open the line for questions. Operator, please go ahead.
Operator: Thank you. We will now begin the question-and-answer session.  Our first question comes from Carlos De Alba from Morgan Stanley. Please go ahead. 
Carlos Alba : Yeah. Good morning, gentlemen. Hopefully you're doing fine. First question is if you could give us an even more color El Brocal? What has led to the revised mining plan? And what would be the impact besides the production that you gave on cost for that operation? And if there is any other meaningful, probably not, but I'll just ask any other meaningful changes to the production of the other metals at that operation?  And then if you also could comment on the discrepancy between EBITDA and cash flow generation. Cash from operations was negative, EBITDA was really strong. I think that it has to do potentially with the discontinued operations, the results on discontinued operations. How much of the -- how much taxes -- cash taxes, you guys paid on the profits that you booked from these continuing operations. Thank you.
Leandro Garcia : Thank you, Carlos. With respect to your question of the production of Brocal, this is a consequence of the event we have in March that was advised to the market. And we have to change the mining plan. But more color should -- Carlos will give you.  And the other question about EBITDA reconciliation with the cash generation. Of course, here is Daniel. So first, we can begin with the question of Brocal, please, Juan Carlos go ahead. 
Juan Carlos Ortiz : Thank you, Carlos for the question. Yes, the landslide happens or occurs in the west flank of the open pit. So in that area, we have a remediation plan that is in place right now. And probably will take between three to four months to remediate that area to remove for the loose material and to shallow the slope in order to have safe condition for that particular area of the mine.  We will continue with the mining of the South section of the open pit, and also remaining area in the north.  In addition to that, we will supply ore to the -- to fit ore to the processing plant from the polymetallic stockpile that we have right next to the main crusher. So the consequences will be a delay on the production or reschedule of the production of certain areas of the open pit due to this last -- this accident. And the impact on this year will be in the range of 1.1 million-1.5 million ounces of silver. This production will be delayed for 2022, probably going into 2023.  We're still looking for opportunities to review these schedule, we really . Also, by reviewing this plan, probably we will be a catch some opportunity, captures some opportunities in order to reduce the gap in silver and increase a little bit of single lead. But we're on the conservative side so far. And we will have more information from the studies and more progress on the works that have been done.  Regarding the cost, due to this accident, it’s still being assessed, but we believe it will be in the range of $3 million to $4 million of additional expenses on the open pit due to the additional removal of material to shallow the slopes -- the slopes of the wet side of the open pit. 
Carlos Alba : Thank you, Juan Carlos.
Leandro Garcia : Daniel, please. 
Daniel Dominguez : Thank you, Leandro. Good morning, Carlos. Yes, the discrepancy between the EBITDA from direct operations and the operating free cash flow that we reported is due for three -- two reasons. One is the taxes that you mentioned. In February, we purchased -- we sold the asset, the Yanacocha asset. And the taxes related to this asset sale were paid in March. And this was in the order of $50 million. And this is under Condesa  which consolidates in our results. This is the explanation for the tax -- the increase in taxes.  And the increase in working capital, which is around $30 million is explained by three main factors. First is due to the provision to Uchucchacua. Remember that in December, we provisioned between $17 million and $20 million for contractor contract cuts, and also the headcount that we adjusted at the end of the year. So these bills were paid in January and February.  The provision was made in December. So you saw these effects in December in our costs, but disbursement, the cash went out between January and February.  The same for El Brocal. We had some claims that were provisioned at the end of last year and paid in the first quarter is worth around $6 million. And also, in December, we had our renewal of the property insurance. This is in the order of $10 million to $11 million. In December, we made the provision and the payments were executed between January and February. This is a $10 million to $11 million effect. That's why there is a discrepancy between the EBITDA and the free cash flow of around $70 million.
Carlos Alba : Thank you, Daniel.
Operator:  Our next question comes from Tanya Jakusconek from Scotiabank. Please go ahead.
Tanya Jakusconek : Yes. Good morning, everyone. Thank you so much for taking my call. I have three questions. The first question comes back to El Brocal. So I just wanted to check with you why there was no adjustment to either the copper -- to the base metal aspects of the mine. You lowered the guidance for silver but nothing on the base metal products. Can you explain to me why that's the case?
Leandro Garcia : Tanya, that we have two operations in America. One is the open pit and the other is the underground mine. But more detail, should give you Juan Carlos. Please, Juan Carlos, go ahead. 
Juan Carlos Ortiz : Yes, Leandro. Thank you for a question, Tanya. Yes, as Leandro was mentioned, the guidance for copper was not changed because we don't have any impact on the underground mine that is 95% of the production of copper for this year.  In regard of the lead and zinc, as I mentioned, the South wall of the open pit and the norther wall of open pit were not impacted by the accident. So we have to put extra fleet to remove additional material, but we will supply that production expected.  So probably, as I mentioned, we will review that in order to see if we can reduce the gap in silver and increase effect a little bit of the lead and zinc. But at this time, we believe the main impact will be on silver, or the equivalent in money on the income later on with a little bit of reduction of zinc and lead. That will be shared with the market in our next conference call when we have more information for the stability and the progress on the remediation works.
Tanya Jakusconek : So what I'm understanding from you is that you've got to take the trucks away from the portion of the pit that's working on the zinc and lead and move it to where we've had the pit -- where we've had the mudslide and sort of clean up it's going to be additional cleanup. And then hopefully you're able to push zinc and lead when you bring the trucks back, is that what I'm understanding?
Juan Carlos Ortiz : Not exactly, is that a southern wall is like 100 meters away from the landslide, the mudslide that we suffered. So the southern wall, we continue with the work. We have a halt of pretty much two weeks and now we are putting additional trucks to catch up with this cable work in the southern wall. The southern wall is 150 meters away from landslide. So we will continue with the work in that area.  In northern wall of the open pit, the northern phase is about one kilometer to the north of mudslide, so we don't have any interference that. So we stopped works there for a couple of weeks. Well, we are receiving their words right now.  So we believe we will continue with the plan. We can catch up with these two weeks delay that we had during the accident. But we are looking for ways for reducing the gap in silver production that was in the landslide that might have a trade-off between single lead production but not really substantial in terms of dollars. We trade the income of single lead with a little bit more income from silver, probably we will do that along the year.
Tanya Jakusconek : Okay. And so $3 million to $4 million is really that the cost then we should just put additional costs for that operation this year? 
Juan Carlos Ortiz : Yeah. 
Tanya Jakusconek : And in terms of an updated mine plan, Uchucchacua. Will we be getting that this year or is it next year?
Leandro Garcia : Tanya, thank you for your question. As you -- on the market, of course is worry about when we are going to resume -- reinitiate the work in Uchucchacua. We are working very hard. We are trying to shorten the schedule. But we think finally that the next year we'll be expected date to -- to expect Uchucchacua back again.
Tanya Jakusconek : And you remember it was the second half of the year or towards the end of the year, Uchucchacua next year? 
Leandro Garcia : The second half.
Tanya Jakusconek : Second half. Okay. And sorry, then my next question had to do with San Gabriel. Congratulations on getting the permits and starting construction there. Can you just maybe --someone gives me some of the milestones we need to get from here to 2025 when we see production?
Leandro Garcia : And I take the opportunity to congratulate all the team that have made this possible. The permitting has been a very tough homework to make. And we did it. With us is Renzo Macher, our Project Manager. And he can give you details and the correct answer. 
Tanya Jakusconek : Perfect, thank you. 
Renzo Macher: And thank you very much. So what we have authorization is to start with the earthworks and we missing the orders for equipment, and the pre-construction work, as well as maintaining the current main infrastructure that has been inactive for a couple of years. So that's what we're going to start today.  The area is that we're going to be finishing construction towards the end of 2004. And aiming at the first bar towards this first -- the end of the first half of 2025. That will be commercial production.
Tanya Jakusconek : So commercial production in 2025, second half. But from -- are there anything within the construction that are critical milestones for us to watch for?
Renzo Macher: Well, during 2020 -- during 2021, we have been working on engineering. We have 33% on passing  engineering. I think we're going to be revealing kind of the less uncertainly of the project is to reach the foundation of it -- of the plant and the foundation of the water dam. And we're going to have more information on that towards the end of 2022. I guess that will be the first milestone of the project is to reach the formation. And then the campsite, which should be ready somewhere in the second quarter of 2024. And that's when another milestone that will signify the beginning of the heavy construction.
Tanya Jakusconek : Okay. So as I understood it, so you're going to be putting down the plant foundation by the end of 2022, and then the campsite by Q2, 2024 in place. And then you have, bit of construction, heavy construction from Q2, 2024 till the time you pour gold in the second half of 2025. Is that a correct understanding?
Renzo Macher: Yes, yes. I will just make sure that the first milestone was reaching the foundation -- the foundation level not putting the installation, we’re switching the foundation. Confirming all of our models about where the foundation is.
Tanya Jakusconek : Okay. Got it. So the prep work for that. So the technical side. Okay, thank you for that. And then my last question, maybe for Daniel. Just an update on the Cerro Verde dividends. We're expecting some in 2022. So maybe an update on what are you seeing or are you expecting a dividend in Q2?
Daniel Dominguez : Yes, Tanya. Good morning. We are receiving today, close to $30 million. These are dividends related to 2021 results. We also expect -- and this is something that sort of we are valuating. We expect additional dividends for the second half of the year. But we don't have yet any figure to report. But we are evaluating an additional dividends by second half.
Tanya Jakusconek : Okay. Okay, well congratulations on the additional $30 million. That's good news. Thank you. Have a great weekend, everyone. 
Leandro Garcia : Thank you. You too. 
Operator:  Again, if you have a question, please press star then one. There are no more questions in the queue. That concludes our question-and-answer portion of today's conference call. I would like to turn it back to Leandro Garcia for closing remarks.
Leandro Garcia : Thank you. Before we finish today today’s conference call, thank you again. Thank you very much for making the time to join us today. We would like to invite you to our 2022 Investor Day, which will be held in New York on June 6 at 10 am Eastern Standard Time. Thank you again. And have a wonderful day.
Operator: Ladies and gentlemen, that concludes Buenaventura’s first quarter 2022 earnings results conference call. We would like to thank you again for your participation. You may now disconnect. 